Operator: Good day, ladies and gentlemen. And welcome to the Nektar Therapeutics Q1 2018 Financial Results Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session, and instructions will be given at that time. [Operator Instructions] As a reminder, this conference call maybe recorded. I would now like to introduce your host for today’s conference, Ms. Jennifer Ruddock, Senior Vice President, Investor Relations. Please go ahead.
Jennifer Ruddock: Thank you, Krystal. Good afternoon. And thank you to everyone for joining us this afternoon. With us today are Howard Robin, our President and CEO; Gil Labrucherie, our Chief Financial Officer; Dr. Steve Doberstein, our Chief R&D Officer; Dr. Jonathan Zalevsky, our Chief Scientific Officer; and Dr. Mary Tagliaferri, our Chief Medical Officer. Several members of our team are joining from different locations. So we ask for your patience today during Q&A if there is any lag in responding. On this call, we expect to make forward-looking statements regarding our business, including the timing of future clinical trials and clinical trial results, clinical development plans, regulatory plans, the economic potential of our collaboration partnerships, the therapeutic potential of certain drugs and drug candidates, as well as those of our partners, our financial guidance for 2018 and certain other statements regarding the future of our business. Because forward-looking statements relate to the future, they are subject to inherent uncertainties and risks that are difficult to predict and many of which are outside of our control. Important risks and uncertainties are set forth in the Form 10-Q we filed earlier today, which is available at sec.gov. We undertake no obligation to update any forward-looking statements whether as a result of new information, future developments or otherwise. A webcast of this call will be available on the IR page at Nektar’s website at nektar.com. With that, I will now turn the call over to Howard. Howard?
Howard Robin: Thank you, Jennifer, and thank you to everyone for joining us today for our first quarter 2018 conference call. On today’s call we will review our achievements since the beginning of this year for Nektar’s pipeline and our planned milestones over the next 12 months, including our submission of an NDA for NKTR-181, which will occur this month and the continued advancement of our IO portfolio with NKTR-214 entering Phase 3 trials and NKTR-262 now being evaluated in the recently initiated REVEAL study, as well as our progress with our immunology program NKTR-358. We will also update our financial guidance for 2018, incorporating the upfront payments we received in the Bristol-Myers Squibb collaboration, which recently closed. Already, this year to-date, we have achieved multiple successes with our pipeline of Nektar invented medicines across three therapeutic areas, immuno-oncology, immunology and pain. In the area of chronic pain, we will submit the NDA for NKTR-181 to the FDA this month. I’d like to acknowledge the incredible efforts of the team here at Nektar, as they have done a tremendous job over the last several months with both our FDA interactions and the preparation of the NDA incorporating FDA guidance. In immuno-oncology, we remain focused on our strategy to develop a full pipeline of new potential medicines that address the key components of the immune cycle in order to restore immune surveillance and properly harness the body’s immune system to fight cancer. Our new BMS collaboration, which became effective in April provides a platform of us to develop our lead IO candidate NKTR-214 broadly and rapidly with over 20 registrational trials in nine tumor types. We believe this will also allow us to achieve our goal of establishing NKTR-214 as a backbone of cancer care across multiple indications. I’ll talk more about this progress of this program in a moment. And in immunology, as you saw we announced this week, we have now advanced NKTR-358 into patients with the initiation of the Phase 1b multiple ascending dose trail being conducted in lupus patients. So 2018 is off to a great start and I am very proud of our employees for their efforts in executing on our strategy. So first let’s review NKTR-181, as you know, our highly productive interactions and pre-NDA meetings with the agency led to assembly of our NDA package, which includes an extensive amount of efficacy and safety data in over 2,100 patients and healthy subjects. As I said earlier, we will submit the NDA this month. We incorporated the clear and collaborative guidance given to us by the FDA into our NDA submission. We believe that NKTR-181 is emerging at the right time, to offer patients suffering from chronic pain and accessible an important potential new therapy, while also helping to address the current opioid public health emergency. Our mission with Nektar-181 from its invention was to provide pain relief to patients without the high risks of abuse and addiction found with today’s opioid drugs. As the first new full mu-opioid agonist molecule to be developed in over 50 years, NKTR-181’s unique inherent properties position the drug to not only help stem the rate of new addiction to conventional opioids, but also to reduce diversion of prescription pain medications for abuse. NKTR-181 is not only an important therapy for patients, but is a major building block in the fight against opioid addiction in our country. We remain highly focused on finding the best way to bring this important new medicines to patients quickly following approval. Because of NKTR-181 significant potential and the current financial strength of our company, our focus is to no -- is no longer a near-term economics for NKTR-181, but rather to retain as much back-end value as possible. As such, we are evaluating several strategic structural alternatives for the commercialization of NKTR-181. One of which is to establish a separate majority-owned subsidiary, with one or more partners to launch this important molecule. This approach is consistent with our strategy to focus our efforts and resources on the development of Nektar’s immuno-oncology and immunology pipeline, while maximizing the value of NKTR-181 for our shareholders. Now let’s talk about NKTR-214. As you know, we recently entered into a transformative collaboration with Bristol-Myers Squibb. Nektar and Bristol-Myers Squibb have already begun planning the most important next steps in the Joint clinical development program for NKTR-214. The intent of the broad clinical development program is to advance this potential combination regimen in IO to as many patients as possible as quickly as possible. To that end, we are extremely pleased that we are planning to start our first Phase 3 trials for NKTR-214 with Opdivo in the third quarter of this year. The first two trials will be in first line melanoma and first line renal cell carcinoma, and we plan to share the preliminary trial designs at this year’s ASCO meetings. Beyond renal cell carcinoma and melanoma, one of our top priorities is this in the second half of 2018, we’ll also be to design and launch our first registrational trials in lung cancer. BMS and Nektar are highly focused on a multi-pronged approach for NKTR-214 plus Opdivo in lung cancer, which envisions multiple registrational trials in different patient populations. Under the framework of this new collaboration, Bristol-Myers Squibb and Nektar are planning over 20 registrational enabling trials that will enroll approximately 15,000 patients in nine tumor types. We were extremely pleased that the abstract from the PIVOT trial was accepted for oral presentation during the Developmental Therapeutics Immunotherapy session at ASCO. As you know, with the ongoing trial, the acceptance of an abstract is more difficult and so we were delighted that the committee chose our abstract for an oral presentation. The abstract includes preliminary data from both escalation and expansion stages of PIVOT, based on the database cut from early February. As this is an ongoing study, we plan to present updated and new data at the meeting, which is consistent with how we presented ongoing data in the past, including at last year’s Citi presentation. We will also host a webcast IR event on Saturday evening, following the oral presentation, which will include an expanded discussion of the preliminary updated data from PIVOT, as well as a panel with three of our investigators. The panel will include lung oncologist, Dr. Scott Gettinger from Yale, melanoma specialist, Dr. Adi Diab from MD Anderson, who will present at the oral session, and [Dr. Dizar Tinier], who is a renal cell and bladder cancer specialists also from MD Anderson. We look forward to seeing many of you in Chicago for this event. In addition to our notable oral presentation, there are a number of other preclinical presentations for NKTR-214, with additional mechanisms of action beyond checkpoint inhibition, which will also be showcased at ASCO. This includes our first presentation of preclinical data for NKTR-214 with Takeda’s compound TAK-659 in preclinical models of both liquid and solid tumors. As you know, we just initiated a new clinical collaboration with Takeda, which includes a Phase 1 study evaluating the combination of NKTR-214 with TAK-659 in patients with non-Hodgkin’s lymphoma. The study will start in the second half of this year. We are extremely excited about the possibilities of evaluating NKTR-214 for the first time in a liquid tumor setting. I’ll let Jonathan talk about the unique synergies of the combination of these two IO mechanisms in a moment, as well as other preclinical presentations planned for ASCO. Following the signing of Bristol-Myers Squibb collaboration, we are now in an exceptionally strong financial position, which allows us to execute on our vision for Nektar’s portfolio in immuno-oncology. Our pipeline of IO candidates beyond NKTR-214 includes NKTR-262, a TLR-78 agonist and NKTR-255, an IO-15 candidate, which can stimulate both NK cells and memory T-cells. In April, we dosed the first patient in the REVEAL trial, which is evaluating a combination of NKTR-262 with NKTR-214. The trial was enrolling up to 400 patients with eight different tumor types in first and second line settings, as well as refractory settings. The first stage of the trial is assessing the doublet of NKTR-262 and NKTR-214, following that, the second stage of the trial will have the option to evaluate a triplet of NKTR-262 and NKTR-214 plus Opdivo. We expect to have initial early data from some of the first patients in the trial sometime in the fourth quarter of this year. Now let me give you an update on the advancement of NKTR-358 with our Eli Lilly. As we have stated in the past, the initial data from our ongoing first in human Phase 1 trial of NKTR-358 in healthy volunteers has shown dose-dependent increases and T regulatory cells levels with no increase in conventional T-cells or NK cells. This is comparable to what we saw in our non-human primate models and we are extremely pleased that this mechanism has now been confirmed in humans. This week, we announced that we have now dosed our first patient in the Phase 1b multiple ascending dose trial in patients with lupus. And Jonathan will discuss this more in a moment. This program continues to advance quickly and we expect initial data from the lupus study sometime in the second half of next year. We are very excited about the potential of NKTR-358 as a resolution therapeutic to bring a new paradigm to the treatment of autoimmune disease and chronic inflammatory indications. With that, I am going to turn the call over to Jonathan.
Dr. Jonathan Zalevsky: Thanks, Howard. I’ll spend some time talking about the science behind combining NKTR-214 with other mechanisms beyond checkpoint inhibition and why we are still excited about this. And then I’ll cover the trial that Nektar and Lilly just initiated with NKTR-358. As Howard stated earlier, NKTR-214 is a broad based immune mechanism that we intend to establish as a keystone therapeutic in IO. And in this capacity, there are many scientifically driven way to combine NKTR-214 with other agents that have complementary and non-overlapping mechanisms. In order to unlock the full potential of cancer immunotherapy and in this regard, our approach is to go where the science leads us and think broadly to incorporate notarial mechanisms expanding beyond checkpoint inhibition. In March of this year, we began the REVEAL clinical trial, which evaluated the combination of NKTR-214 with our polymer conjugated intra-tumoral TLR-78 agonist NKTR-262. NKTR-262 was designed expressly to be used in combination with NKTR-214. As of TLR-78 agonist, NKTR-262 targets the innate immune system and when combined with NKTR-214, which targets the adopted immune system, this combination engages the same biological pathways that our immune system uses to fight infections. Except in this case, we use the frequent injection of NKTR-262 into one or two tumor legions to educate the immune system. And NKTR-214 to expand and propagate the educated immune system response throughout the entire body to target all tumor lesions even one is not injected with NKTR-262. We call this an abscopal immune response and we routinely see this in preclinical tumor models using NKTR-262 and NKTR-214. At AACR last month, we presented preclinical data showing the efficacy of this combination in multiple mouse syngeneic tumor models. And in addition, we show deep mechanism of action data demonstrating how these individual agents NKTR-262 and NKTR-214 work together to engage the innate and adaptive arms of the immune system, control the maturation and function of the underlying myeloid/lymphoid cell populations and their modification of systemic immunology to drive an abscopal anti-tumor response. We are very excited that the REVEAL trial is underway and have designed the trial to include a robust biomarker program predicated on the translation of the unique mechanism of action of this combination. In April of this year, we announced the new clinical collaboration with Takeda to evaluate NKTR-214 with Takeda’s dual SYK-FLT inhibitor known as TAK-659 for the treatment of liquid and solid tumors. TAK-659 is a clinical stage compound developed by Takeda that has already shown clinical activity in non-Hodgkin Lymphoma. In preclinical mouse tumor models TAK-659 was shown to reduce the levels of myeloid-derived suppressor cell and increased the levels of proinflammatory M1 macrophages in the tumor microenvironment. Since NKTR-214 does not target these myeloid cell populations, it provides a unique non-overlapping and highly complementary mechanism to TAK-659. At ASCO, next month, we will present our first preclinical data evaluating this combination in multiple mouse tumor lines modeling both liquid and solid tumors. We are very excited to advance NKTR-214 into the liquid tumor setting and our first clinical study will evaluate the combination of NKTR-214 plus TAK-695 in Hodgkin’s -- non-Hodgkin’s lymphoma and trial will begin later this year. Additionally, we are conducting preclinical research in syngeneic mouse tumor models evaluating doublet combinations of NKTR-214 with path inhibitor and with the dipeptidyl peptidase or DPP [inaudible] inhibitor, as well as in tumor models with neoantigen-based vaccines in order to explore patient specific personalized cancer vaccine strategy. In all cases, we believe to have a strong scientific rationale for the combination that is both specific to the individual combination partners and the tumor selection for the intended use of each combination. The emerging data are very encouraging and some of this, as Howard mentioned, will also be presented at ASCO next month. And as we move forward with the development program for NKTR-214, we will prioritize which of these mechanisms we can advance into the clinic. And I’d like to now expand on Howard’s discussion of NKTR-358 and review the clinical trial we just started in lupus patient. As Howard said, NKTR-358 is a notable program for Nektar, as it has great potential in the number of autoimmune disease stage. It provide further evidence of our ability to optimize cytokine biology and use our core chemistry to control ligand receptor interactions to create potential new breakthrough medicines. This expertise have now well-recognized by our large pharmaceutical partners such as Bristol and Takeda for NKTR-214, and of course, with Lilly for NKTR-358. Our collaboration with Lilly is now focused on the comprehensive development of NKTR-358. As you know, Nektar is responsible for all activities up to the end of Phase 1 and then Lilly will take the lead from Phase 2 onwards. We observe promising biomarker results in our ongoing Phase 1a study of NKTR-358, which is a single ascending dose escalation trial in healthy volunteers. This trial evaluated safety, tolerability and mechanism-based immunological biomarkers associated with the pharmacodynamics of NKTR-358. We have now dose escalated several times and the trial is progressing very well. So far to-date, we have observed dose-dependent increases in T-reg level with no increases in conventional T-cells or NK cell, and in fact, as Howard stated, the results in healthy volunteers track very well with the preclinical studies we conducted in monkeys. And earlier this week, we dosed the first patients in the Phase 1b trial of NKTR-358, which is a multiple ascending dose escalation study in patients with systemic lupus erythematosus also known as lupus. In this study, our objective is to evaluate the safety, pharmacokinetics, pharmacodynamics, changes in disease specific biomarkers and any clinical signs of activity in patients treated with repeat dose administrations of NKTR-358. The PD markers will include evaluation of T-regs, T conventional cells, the Th17 to T-reg ratios, B cells and memory B cell levels, NK cells, as well as disease specific serum biomarkers, including anti-double-stranded DNA antibodies and compliment. We will measure clinical response using the SLE disease activity index. This study will inform the dose levels and design of the Phase 2 study that our partner Lilly will run in several different autoimmune disease indications. And with that, I’d like to hand the call to Gil.
Gil Labrucherie: Thank you, Jonathan, and good afternoon, everyone. I will start with a brief review of Nektar’s first quarter 2018 financial results and then I will give an update to our annual financial guidance. We ended the first quarter of 2018 with 333.8 million of cash and investments. Which does not include the payments from Bristol-Myers Squibb for the strategic collaboration transaction that closed on April 3, 2018. At the closing, we received 1.85 billion from BMS, comprised of a $1 billion upfront payment and an $850 million premium equity investment. We still expect to end the year with a cash position of approximately 1.9 billion to 1.925 billion. For the first quarter, our revenue and expense line items were consistent with the annual guidance we gave on our year-end call. Now let’s turn to our 2018 financial guidance. Our annual financial guidance remains largely unchanged. We have completed the revenue recognition analysis and our independent auditors are in the process of completing their audit procedures for the BMS collaboration payments that will be accounted for in the second quarter ending June 30, 2018. We now expect to recognize substantially all of the 1 billion upfront payment as revenue in the second quarter. As a result, we are raising our full-year guidance to approximately 1.1 billion. Our full year revenue guidance, outside of the payments from the BMS collaboration is unchanged at 100 million to 110 million, and we expect the remaining revenue to be recognized ratably over the remaining quarters of 2018. We continue to project 2018 GAAP R&D expense to range between 400 million and 425 million, which includes approximately 67 million of non-cash depreciation and stock compensation expense. We now anticipate G&A expense for 2018 to be between 70 million and 75 million, which includes 28 million to 32 million of non-cash depreciation and stock compensation expense. As I stated earlier, we plan to end 2018 with approximately 1.9 Billion to 1.925 billion in cash and investments. With that, I will open the call for questions. Operator?
Operator: Thank you. [Operator Instructions] And our first question comes from Chris Shibutani from Cowen. Your line is open.
Chris Shibutani: Thanks very much. And Gil, that’s a pretty healthy balance sheet you have there, lots of interesting things, I am sure you guys can do. With the Bristol deal that you announced, we certainly been looking forward to hearing a lot about PIVOT. One of the other partnership programs, obviously, that you’ve also had with 214 was PROPEL. Can you give us a sense for -- are there any implications of the Bristol deal to PROPEL and would we be learning anything in particular at ASCO from those combination studies or partnerships?
Dr. Mary Tagliaferri: Hi, Chris. This is Mary Tagliaferri. Thank you for asking the question. Recall that the PROPEL study is not a partnership with any external party. This is fully run and sponsored by Nektar. And as you know we are enrolling patients with NKTR-214 plus atezolizumab and those patients are patients who have first or second line bladder cancer or second line non-small cell lung cancer. And then in addition we are combining NKTR-214 plus pembrolizumab in patients who have first line melanoma, in patients who have non-small cell lung cancer, and those patients could be first line patients, who have PD-L1 greater than 50% or second line on small cell lung cancer patients or again bladder cancer patients. We are actively enrolling those patients. We are not presenting data at ASCO this year, but we have said in the second half of this year that we would have data to share on the PROPEL study.
Chris Shibutani: And then one thing that’s often debated amongst investors is, what your process is for the central adjudication of responses? Can you just clarify what your process is there and in particular how -- when do we see that type of data, when do your partner see that on the central adjudication trend that would be helpful to clarify? Thanks.
Dr. Mary Tagliaferri: Yeah. Hi, Chris. As per our protocol, our primary efficacy endpoint in both the PROPEL study and the PIVOT-02 study is an investigator assessed objective response rate and that’s, obviously, the most common approach in terms of Phase 1 and Phase 2 study. We also in addition have an independent radiology group called BioClinica that also reviews all of the patients who have been enrolled to PIVOT-02 and does an evaluation as well. If we were to move forward with an accelerated approval pathway for any of the relapse/refractory patient population, obviously, the FDA would ask for both the investigator assessed objective response rate, as well as the data from independent radiology.
Chris Shibutani: Great. And then, finally, on lung. Can you remind us what we should expect in terms of numbers of patients that we will see from lung cohorts from PIVOT at ASCO? Thanks. Then I’ll get in the queue.
Dr. Mary Tagliaferri: Yeah. Thanks. Thanks, Chris. Well, first, I want to share with everybody that we were very honored to be selected as an oral presentation at ASCO. This year there are over 6,400 abstracts submitted. So selection for podium time at ASCO is truly a distinction. And we shared, we will have at least 100 patients who are IO naive that we are going to be presenting at ASCO. And given the clinical safety and efficacy data that we presented at Citi, and of course, the investigators that were already enrolling to the trial accrual to the renal cell carcinoma and melanoma cohorts occurred more briskly. So, therefore, at ASCO, we’ll have the largest proportion of data for patients who have both first line melanoma and fine-line RCC and our stage IV disease. We are also going to have a handful of data for patients in lung cancer and triple-negative breast cancer, and as those investigators came on after our GU and melanoma oncologists will have fewer patients in those populations. I also want to let you know that the abstract will be available next week and the data cut for our abstract was in early February. Although, we will be providing more current updates with data planned to be presented at ASCO. So the other thing that’s very important to understand, Chris, is that, when we present the PIVOT-02 data at ASCO, there are going to be a number of patients who have only had one post-treatment scan, and as you know, in our dose escalation data set, we see patients having a deepening of response over time and an increase in the number of patients to respond as they stay on treatment. And of course, we have shared many times the patients are able to tolerate treatment and continue on the doublet, because the treatment regimen is very well-tolerated. So we’ll clearly point out to you those studies, the patients who have been on study longer and those patients who have had once scan and more than one scan. And so, I just want to say we are really looking forward to seeing you and everyone on this call at our ASCO presentation, and that’s going to take place on Saturday, June 2nd, in the Developmental Therapeutics session between 3 p.m and 6 p.m,
Chris Shibutani: Great. Thank you, Mary, I’ll get back in the queue.
Operator: Thank you. And our next question comes from Jessica Fye from J.P. Morgan. Your line is open.
Jessica Fye: Great. Thanks for taking my question. One has been such a big focus and I realized we have only see in five patients worth of data so far and I recognize that the one cohort we get at ASCO might be less mature and smaller numbers than the RCC and melanoma groups. But can you just kind of set the stage a little bit for what we should and should not expect to learn from the long update at ASCO. And beyond the data itself I’d be curious to hear now that the dust has settled a little bit and there’s been -- maybe some more time to digest the 189 data, kind of what your latest thinking is on best strategies and areas to move forward and within lung cancer?
Dr. Mary Tagliaferri: Great, Jessica. Thank you for asking that question. So, mostly the non-small cell lung cancer patients that will be presented will be the second line IO naive post-chemotherapy. That being said, we also will be presenting some case studies of other lung cancer patients in both the first line and the relapse/refractory population. So we can provide you with a more broad understanding of the fact that we see with NKTR-214 placebo in lung cancer and ideas of patient populations, where we will be moving forward to and moving forward in those patient populations in our Phase 3 clinical development plan. Remember, again, I have to emphasize that what I just told, Chris, but I want tell you to Jessica, most of these patients are going to be on study with one scan and so we do, again, I want to emphasize that we see our efficacy data mature over time, and so we will have to provide you with the information about those patients who have been on study longer and those patients who have only had one scan. Likewise, we will provide an update for those patients who were enrolled to the dose escalation and we’ll let you know how the patient with the complete response in the two patient that we previously reported to you that had partial response that were treated in the second line non-small cell lung cancer setting.
Jessica Fye: Okay. Thanks. Appreciate that. And then, can you also just clear the air and talk about the recent management stock sales. I completely realize that share appreciation has been meaningful, but the output aren’t great, so why don’t you give you the forum to address those investor questions?
Howard Robin: Sure. Jessica, I am happy to address it. I think, look, you -- all the management stock sales have been done under plans that were put in place some time ago and for the most part, the sales of shares that you see are just a small percentage of the ownership of the -- of management team, and quite frankly, are generally within a year of exploration. Now, I think, if you look at if -- and I always look at this myself, because I think it’s a very important question to ask and I certainly know the investors are looking at this carefully, but if you look at the ownership and shares of the senior management team at Nektar, they probably still own 80% of their vested shares and they haven’t been selling those. So if you come upon shares that are expiring or soon to expire, of course, they’re going to be disposed off in some fashion. But if -- but I always look at the -- I look to myself and I look at the entire team, and I say, where do we stand as a management team in owning a portion of Nektar, and for example, I still have, probably, 80% of my vested shares are still sitting in the bank, so to speak, right. So, I don’t think there’s been any unusual stock sales. I think the management is going to dispose of shares as they come close to exploration -- as stock options come close to explorations, but I also know that the team is well stake with vested shares and has a strong belief that this company has enormous potential and a long way to go, and I don’t see anybody disposing of shares that aren’t reasonably close to exploration, so -- I should say, options reasonably close to exploration. So, I hope everybody understands that in some fashion stock options are a form of compensation and it’s not unusual to see that form of compensation taken advantage of by management, especially after such a successful performance in 2017 and so far in 2018. And quite frankly, while I am always looking at this, I don’t have a problem with people taking a little bit of money off the table when shares are in the neighborhood of expiring, when options are in neighborhood of expiring. I hope that answers the question.
Jessica Fye: Yeah. I appreciate that. Thank you.
Operator: Thank you. And our next question comes from Tyler Van Buren from Piper Jaffray. Your line is open.
Tyler Van Buren: Hi, guys. Good afternoon and thanks for taking the questions. As we head into the ASCO abstract, could you just help us, of course, without giving any content, just help us understand, how it will be structured, imagine we’ll see response rates by tumor type, but will we see a stratification by PD-L1 expression status, will there be a breakdown of scans and will there be some sort of breakdown by treatment naive versus experienced patients. And maybe you could compare and contrast that with respect to what we’ll see at the actual oral presentation?
Dr. Mary Tagliaferri: Great. Hi, Tyler. It’s Mary. Yeah. So in the abstract, which you’ll see next week, we included all the IO naive patient populations that were enrolling to PIVOT-02. So those are patients that from first line RCC, first line melanoma, second line non-small cell lung cancer IO naive, first line system eligible bladder cancer patients, as well as first line, excuse me, second line triple-negative breast cancer. We also have broken down the abstract to show you response rates by PD-L1 status, so we will be also sharing that as well as our safety update. Again, as I just told, Chris, the largest cohorts that we’ll be presenting at ASCO will be the melanoma and RCC cohorts.
Tyler Van Buren: Since you will be breaking it down by PD-L1 expression status, maybe it would just be helpful to kind of understand broadly what type of response rates or what kind of difference in response rates you all would expect to see or that we have seen historically with IO monotherapy?
Dr. Mary Tagliaferri: Yeah. Tyler, it’s a great question and it could go into some depth. So we will present the benchmark data for single agent nivolumab, as well as single agent nivolumab efficacy by PD-L1 status during our Investor presentation and [inaudible] will also present some of that data in his oral presentation during the Developmental Therapeutic session. So we really encourage you to attend and we are looking forward to sharing with you all that specific data.
Tyler Van Buren: Great. And in terms of the data cut for the ASCO oral presentation, can you all tell us approximately when that occurred?
Dr. Mary Tagliaferri: Yeah. Hi. We haven’t actually done the data cut yet for ASCO. We are going to be doing it in the next couple weeks, so, obviously, as we head into ASCO.
Tyler Van Buren: Okay. Great. And Bristol before the recent deal was announced, did they see all the data that was in the abstract?
Dr. Mary Tagliaferri: Yes. Bristol did see the data that were in the abstract. As you know, we had our clinical collaboration with Bristol-Myers Squibb and at that time in February when we submitted the abstract, they were certainly our clinical collaborator moving forward with us. So they did see the data and that did happen before they made very large clinical collaboration with us that led to $1.85 billion in the bank for Nektar.
Tyler Van Buren: Wonderful. Well, I forward to seeing a more mature data at ASCO. Thank you.
Dr. Mary Tagliaferri: We really look forward to seeing you. Tyler.
Operator: Thank you. And our next question comes from Bert Hazlett from BTIG. Your line is open.
Bert Hazlett: Thanks and congratulations on all the progress. With regard to the Phase 3 decision. Glad to hear you’re moving into some pivotal studies. Could you articulate a little bit more about what went into -- deciding to move into Phase 3 for those specific indications and then are there any potential for accelerated pathways, and if so, what at least might be in the realm of possibilities. Then I have one more after that.
Dr. Mary Tagliaferri: Yeah. So, as we have shared many times, we had enrolled the largest number of patients into the melanoma and RCC cohorts. And any Phase 2 protocol that’s written also has embedded stopping criteria and -- for efficacy. And so we will be presenting some of those data as well at ASCO, which will show why we bridged our Phase 2 into our Phase 3 for melanoma and renal cell carcinoma. And certainly, we are very eager to move forward in a very broad clinical development program. As Howard mentioned to you, we have over 20 registrational studies that we are launching within the next 14 months. And we have shown and shared with you efficacy data already for multiple different tumor types at various stages of development. And to answer your second question about the accelerated approval pathways. We do have strategies embedded into our protocol and we are moving forward with accelerated approval pathways in the relapse/refractory population for non-small cell lung cancer bladder melanoma and renal cell carcinoma. We do believe that this is an opportunity to rapidly and potentially have NKTR-214 on the market.
Bert Hazlett: Thank you for that. And then just with regard to the 214 and 262 doublet and then triplet, could you remind us does the dosing from animals translate well to humans with such a combination and then how are you thinking about dosing a potential triplet combination with Opdivo as well?
Howard Robin: JZ, you want to take that question please.
Dr. Jonathan Zalevsky: Sure. Thank you, Howard, and thank you, Bert. So, yeah, actually we did a lot of studies in the preclinical lab understanding the nature of the tumor kind of like the cellularity of the tumor and the size of the tumor and the age. From that we actually developed a number of models to allow us to translate dose administration and make predictions on how to scale and plan to do the dosing using the animal model as a guide. So, certainly, the first dose levels that we have selected, as well as the strategy and approach for the -- for the new guided injections. Those all came from information learned from the animal studies. And then, in regards to the second part of your question. So we administered NKTR-262 in the protocol. It’s infrequent. So we necessarily need to repeatedly inject the tumors. So the way that we would be using the doublet or triplet is we will introduce intra-tumoral NKTR-262, but then systemically we would give either NKTR-214 alone in the case of the doublet or NKTR-214 plus nivolumab in the case of the triplet. And then the patients would stay on the systemic therapy and we would only re-administer NKTR-262 if necessary upon re-staging the patient.
Bert Hazlett: Thank you for the color. And I guess, more broadly, as you brought up strategy and discussion surrounding IO, given the novelty of the 214 mechanism. How are you strategically contemplating the development of this molecule, obviously, PD1s and you’ve got the Takeda collaboration. But how do you frame the development across the IO landscape and are you -- do you have a strategic plan in mind or are you just letting the data drive you at this particular point?
Howard Robin: No. I think, listen, I think, that’s a great question and clearly there is a strategy behind this and it goes back to what I’ve said all along, and I know JZ has said along, which is a molecule that can cause the proliferation of effector T-cells is the centerpiece of IO without T cells, without effector T-cells, IO therapy starts to fall apart. So, because what I believe is that we have the centerpiece of an IO therapy and we also have other pieces such as NKTR-262, I don’t think we are dependent on checkpoint inhibition as a strategy. I think NKTR-214 carries its own strategy and we are going to look at it with checkpoint modalities. But we’ll also be looking at it with methods of creating antigen such as NKTR-263, 262, potentially new antigen vaccines and potentially even chemotherapy approaches. So there’s a number of different things you can do with NKTR-214 in a very broad way in immuno-oncology. And if you believe it’s that center or that circle which we think it is then think of all the possibilities and all the different things you can do even combinations with CAR-T therapies, which should prove enormously important, given their very short duration of effect. So I think we do have a strategy. We haven’t mapped it out publicly yet. We are discussing possibilities with numerous companies. You can see what we just did with Takeda small molecule. There’s a lot of companies that want to work with NKTR-214, outside of the BMS collaboration, we are allowed to work with it in all these different approaches, and I think you’re going to see a lot of study startup over the coming year with NKTR-214 as that centerpiece.
Bert Hazlett: Thank you. We are looking forward to ASCO. Thank you.
Operator: Thank you. And our next question comes from our Arlinda Lee from Canaccord. Your line is open.
Arlinda Lee: Hi, guys. Thanks for taking my question. I was hoping to kind of clarify the duration of what we might see at ASCO or maybe the duration of follow-up. I think, Mary mentioned that there was most patient had one scan, I wasn’t clear that was path to see or in the abstract or what? And then on -- maybe the -- secondly, maybe the scope of the PROPEL that we might see in the second half, is that going to be a medical meeting, presentation and maybe just duration of follow-up and the number of patients it would effect to that. And then, lastly, on the TKI combination with Takeda. I am wondering if, JZ, is there something particular about the SYK pathway or do you think that this is a combination with other TKI’s potential strategy going forward in general for 214?
Dr. Mary Tagliaferri: Hi, Arlinda. It’s Mary. So as I told Jessica and Chris, and I’ll repeat it, at ASCO we will have the most amount of data for the melanoma and RCC populations and as such those patients, some of those patients will have been on study longer than in some of the other IO naive patient populations. The other thing I wanted to mentioned, though, we will be providing you with an update of those patients that were enrolled to the dose escalation and recall that those first patients came on the dose escalation of PIVOT-02 in December of 2016. So we do have some long-term follow-up for patients who are enrolled to our first line melanoma, first line RCC and non-small cell lung cancer cohorts. We are looking forward to sharing more long-term follow-up on the dose escalation patients, and then, again, as we mentioned many patients who are enrolled to the expansion cohort recently came on to the study and so a number of those patients will only have one post-treatment scan. And then now, JZ, I will turn it over to you to respond to the next part of her question.
Dr. Jonathan Zalevsky: Sure. Thanks, Mary, and thanks, Arlinda. So, yeah, you highlighted a very interesting point. So, TAK-659, it is a kinase inhibitor, but it’s very selective kinase inhibitor that has dual activity on the alone animal. And that’s again SYK, which is spleen tyrosine kinase and also the FLT-3, which is that signals and response to the FLT-3 ligand. And so there are two really unique features of this particular TKI besides the selectivity. And the first is that with SKY you engage the immuno receptor tyrosine kinase signaling. So these are the kind of ITAMs that you see in a lot of immune cells. And SYK is the key enzyme that controls the downstream signaling of those complexes and control signaling to the downstream machinery such as phospholipase, gamma and others. And we find that ITAMs can control signaling in a range of different cell types, not just in T- cells where we typically think of SYK, but also in monocytes and myeloid cells even in high granular cells that rely on it for signaling. And we also know that’s the case with FLT as well as that highly representative along the myeloid compartment. And so very unique is that, our preclinical study with Takeda scientist discovered that a lot of the suppressive cell populations that have myeloid -- that are of the myeloid subset, I mean, tumor might provide with a highly kind of almost addicted to these pathways, and then when you treat these kind of tumors the cell populations themselves vanish or they dedifferentiate. And in particularly what was very exciting was changing the plasticity of M1 macrophages phenotype creating a very large increase in the pro-inflammatory macrophages subset. So why this combination is so interesting to combine with NKTR-214 is that it really target cell population and cellular processes that NKTR-214 does not directly engage. And so that’s why this doublet is very interesting. And I hope you have a chance to see the presentation at ASCO, because the preclinical data with these two agents as a doublet is very, very compelling. We see some very, very strong preclinical results and we are seeing those results preclinically that led us into this advanced -- moving into this clinical collaboration with the first trial starting later this year.
Arlinda Lee: Okay.
Operator: Thank you. And our next question comes from Difei Yang from Mizuho Securities. Your line is open.
Unidentified Analyst: Hey. Good afternoon, guys. This is actually [Alex] on for Difei. Thanks for taking the question. I just have a quick one here on NKTR-262 and 214 on the combo. You said you’re expecting to have initial data in the fourth quarter, do you plan on presenting that at medical conference?
Dr. Mary Tagliaferri: Yeah. Hi, Alex. It’s Mary. We would like to present that at the medical conference. It’s certainly been our practice, So I can tell you and share with you that we have already enrolled the first cohort of patients. We have three patients that have been dose with NKTR-262, so we expect by the end of the year we could provide an update of those patients. So we look forward to sharing the data with you, and as JZ explained a very compelling and interesting science, we have a lot of enthusiasm and excitement for enrolling patients to the study.
Unidentified Analyst: Great. Thank you.
Operator: Thank you. And our next question comes from Andy Hsieh from William Blair. Your line is open.
Andy Hsieh: Great. Thanks for taking my question. So, one on just the RCC landscape, just wondering your view about what suitable comparator arm. I know that Bristol recently started the Phase 3 trial that uses Opdivo Yervoy as a comparator, so happy to hear what you -- what your view is there?
Dr. Mary Tagliaferri: Yeah. Hi, Andy. I think that there are multiple opportunities for comparator arm in RCC and I don’t think we will be locked into just AP plus Opdivo as a comparator. And we do -- we have designed our Phase 3 trial in renal cell carcinoma. We are looking forward to sharing the trial design with you for both the first line melanoma trial, as well as the RCC trial at ASCO and it is a really good question, landscape is changing quickly across all the tumor types, really that where we are moving forward, I think that the goal of Nektar and BMS is design -- to design clinical trials that will truly change standard of care. And also what we believe we have a high probability of technical success and so we look forward to sharing more details about both our first line RCC strategy, as well as our first line melanoma strategy.
Andy Hsieh: Great. Thanks. So one follow-up, if I may. So you alluded to the over time the response deepened with 214 and Opdivo. Just wondering if you have updated measure in terms of medium time to response and how does that compare with the value that you typically see with Opdivo Yervoy .
Dr. Mary Tagliaferri: Yeah. So, at ASCO, we are going to share the time to response data, as well as continue to provide you with an update of our more mature data set from the dose escalation in renal cell, as well as the new patients that came on to the study and were treated as a recommended Phase 2 dose, which of course, is the regimen that we will be moving forward to -- moving forward into with our Phase 3 trials. So we will be providing updated time to response data at ASCO and we’ll be doing that for both our melanoma and our renal cell population.
Andy Hsieh: Cool. Thank you so much.
Operator: Thank you. And our next question comes from Corey Davis from Seaport Global. Your line is open.
Corey Davis: Thanks very much. Just beyond general FDA criteria, can you elaborate a little bit more on some of the specific things for lack of a better word that you’d need to see in the data to be able to dictate in accelerated filing and approval pathway? And what do you think is that quickest way to market for 214?
Dr. Mary Tagliaferri: Yeah. Hi, Corey. It’s a very good question. And as you can imagine partnering with BMS we are able to leverage a lot of experience that they had with the FDA on these topics. But in general, what you need to prove is that you can -- with your 95% confidence interval for your objective response rate that you are lower bound of that 95% confidence interval rules out the point estimate for standard of care. So just to give you like a specific example in terms of relapsed/refractory melanoma population, where those patients have been treated with the prior checkpoint inhibitor, a second line treatment could be atezolizumab, which has about a 13% objective response rate. So you would want to see an objective response rate somewhere around 20% or above 20%, where you are 95% confidence interval the lower bound would be above 13%. In terms of non-small cell lung cancer post IO plus chemo or post IO docetaxel is a very reasonable comparator in the second line setting, and there’s been a number of large Phase 3 trials that show that the objective response rate for docetaxel is roughly 9%. And so, in the non-small cell lung cancer population that has been previously treated with an IO agent the doublet of NKTR-214 plus nivo we’d estimated have to have an objective response rate around 18% or higher to rule out the lower bound of the 95% confidence interval that’s above 9%. Just to give you some ideas. When we do our statistical calculations, those cohorts need to be around 100 patients to be able to demonstrate that level of efficacy. I hope that help.
Corey Davis: Yeah. That was great. Thanks very much. And second question just the deepening of the responses in RCC patients that were just alluded to, is there a mechanistic explanation to think that it might work better in that tumor type and more broadly, are there tumor types before you actually look at clinical data that would be predicted to have a better response with 214 and the mix?
Dr. Mary Tagliaferri: Yeah. We have shown an update from our dose escalation patients for first line melanoma, first line RCC and non-small cell lung cancer, and this pattern, we have actually seen to be consistent across all three of these solid tumor types. And from a biological perspective, it makes sense that Nektar-214 would have this robust effect in all tumor types, because the mechanism provides for new antigen specific T-cells to be generated every 21 days and that’s why we see this effect over time in contrast to CAR-T where you see a very high rate of relapse after six months of treatment, because all those T-cells are now gone, in contrast NKTR-214 generates this new replenishment of these antigen specific piece T-cells every 21 days, which is why we see this ongoing tumor regression and tumor reduction with ongoing treatment.
Corey Davis: Great. Thanks very much.
Operator: Thank you. And our next question comes from Debjit Chattopadhyay from H.C. Wainwright. Your line is open.
Debjit Chattopadhyay: Hey. Good afternoon, guys. And so as you start thinking about the front line non-small cell setting, what is your thought process for KEYNOTE-189 on using a chemo conditioning prior to 214 plus Opdivo?
Dr. Mary Tagliaferri: Hi, Debjit. I think that’s a really great question and I wanted to tell you that we have been meeting regularly with BMS and we also already had an Ad Board meeting with the top long thoracic oncologists, including people like Marco Ward and Dana-Farber and Scott Gettinger from Yale and Matt Hellmann from Memorial Sloan-Kettering and Roy Herbst and [Volley Papau] and we have getting a lot of input. And while combining with chemotherapy it’s one strategy we also believe there are other first line strategies as well in stage IV disease. To just give you an example the KEYNOTE-042 study is going to fully read out and be presented at ASCO this year, and we are really looking forward to seeing those data, because we believe both one KEYNOTE-189 and KEYNOTE-042 will be very informative to the type of clinical trial in the first line setting that we can design. And so while chemotherapy is a option, I don’t think it’s the only option and we are looking forward to sharing more Information with you about our specific trial designs in lung as we fully digest all the data that we think can help guide us to the best Phase 3 trial design. I also want to mention that in addition to stage V front line setting we are also looking at other earlier stage settings with lung cancer and in the relapse/refractory population. So our strategy in lung cancer is very broad and not isolated to just the state for first line setting.
Debjit Chattopadhyay: Great. And I know this question doesn’t get asked often, in terms of the sarcoma study, obviously, the smaller market, but this is a IO cold tumor, any updates on the, sorry, ongoing at MSKCC and when might we see the data from that?
Dr. Mary Tagliaferri: As you know, this is an investigator initiated study and so Dr. Sandra D’Angelo will be making a decision about the presentation in that study. I know she is eager to present the data. However, she hasn’t shared with us the conference that she will be submitting an abstract to. So we will all have to wait and see the data until she present. So I am not able to provide you with a update at this time.
Debjit Chattopadhyay: And one last one in terms of getting a pivotal study up and running in non-small cell, whether it’s front line or relapsed/refractory or second line, how many patients do you need before you guys are comfortable in terms of both powering the study and trying to avoid the pitfalls of the insight marker Echo-301 study?
Dr. Mary Tagliaferri: Yeah. We haven’t shared all of our data with you which we look forward to sharing at ASCO. I don’t think that there’s any magic and number. I think we are going to look at the totality of our data in lung cancer and multiple different lines and the front line, in the second line IO naive, as well as the relapse/refractory setting to guide us. And I think, in addition to that, we obviously are looking at very closely at our biomarker data, which we are excited to share with you at ASCO, as well of course as the safety profile. So I don’t think that there is a magic number to share with you, but the totality of the data in all three of those settings will certainly guide us as to the robust effect we believe we’ll see in a Phase 3 non-small cell lung cancer trial.
Debjit Chattopadhyay: Good luck. Thank you.
Operator: Thank you. And that does conclude our question-and-answer session for today’s conference. I would now like to turn the call back over to Howard Robin for any closing remarks.
Howard Robin: Well, thank you everyone for joining us today, that was a lot of really good questions. And again, I’d like to thank our employees for all their hard work, which resulted in this enormous progress we have made in moving our pipeline forward. And I look forward to seeing many of you in a few weeks in Chicago. So thank you for joining us this afternoon.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This does conclude the program. You may all disconnect. Everyone have a wonderful day.